Tobias Bjorklund: Thank you, everyone, for joining us here today. I'm joined by the Novozymes management team and the rest of our Investor Relations team. My name is Tobias Bjorklund, and I'm the Head of Investor Relations. Earlier yesterday, we released our full year interim report for the first half of 2020 after having preannounced our sales and preliminary EBIT margin on July 8. At this call, we will review our performance and key events from the first 6 months of the year. The call will take around 50 minutes, including time for questions. Before we begin, I would like to remind you that the information presented at this call is unaudited and the management -- that management may make forward-looking statements. These statements are based on current expectations and beliefs, and they involve risks and uncertainties that could cause actual results to differ materially from those described in any forward-looking statements. With this introduction, I will now hand you over to our CEO, Ester Baiget, please. Thank you.
Ester Baiget: Thank you. Thank you, Tobias, and thank you all for calling in. As you all know, we announced our sales and preliminary EBIT for the first 6 months of 2020 on July 8. Therefore, the focus of today's call will be on a review of our full financial performance for the first half of the year as well as the reinstated full year outlook for 2020. During the first half of the year, our main priorities were to ensure the safety of our employees and the continuity of our services to our customers and supply chain partners. I am proud to say that we succeeded in that effort while also delivering on sales, earnings and cash flows. We continued to progress on the projects in our innovation pipeline. In the second quarter, we launched 5 exciting products and we continued the commercialization of our recently launched solutions, such as Freshness in Household Care and Balancius in animal feed. In other words, our innovation machine is running close to full throttle. And even in these unprecedented conditions, we are introducing high-performance and sustainable solutions to the world. As societies carefully reopened across the world, we have decided to reinstate the outlook for 2020. But before we dive deeper into that, let me spend a few minutes on our performance for the first 6 months of the year. Could you please turn to Slide #2. In the first half of the year, the business was both positively and negatively impacted by events related to the COVID-19 pandemic. The changing consumer behavior such as stockpiling, increased focus on personal hygiene and more at-home food consumption had a positive impact on both our Household Care and food-related businesses. At the same time, stay-at-home orders and social distancing had a significant negative impact on our Bioenergy, Beverages and textile businesses. Overall, we delivered a solid set of numbers in the first half of 2020. Total sales grew organically by 4% with strong cash flows and solid earnings. Agriculture & Feed grew organically by 17%, Household Care by 11% and Food & Beverages delivered 7% growth. At the opposite end of the spectrum, Technical & Pharma and Bioenergy declined by 22% and 15%, respectively. And looking at the second quarter performance, sales declined by 2% organically, which is sound, considering the severe headwinds in the U.S. ethanol market and the textile global industry. We delivered a healthy first half EBIT margin at 27.5% and a strong free cash flow before acquisitions of DKK 2.1 billion. As countries and economies carefully reopened, Novozymes now reinstated its full year 2020 outlook. We expect an organic sales performance of minus 2% to plus 2% with the development in the U.S. ethanol industry being the main source of uncertainty. And Lars will go later in the call through the details of the full financial outlook a bit later. Please turn into #3. In the first half, organic sales in emerging markets grew by 9% and developed markets grew by 1%. Growth was broad based across all major regions, except North America, where the severe decline in the U.S. ethanol production had a significant negative impact on overall growth in the developed markets. The decline in the North American Bioenergy businesses was the main reason for the second quarter organic decline of the 5% in developed markets. Sales in emerging markets grew 4% in the quarter primarily driven by Household Care, but somehow hampered by the development in the textile businesses. Could you please turn to Slide #4. Thank you. Sales in Household Care grew by 11% organically in both the first half and the second quarter of 2020. The strong sales performance was led by increased enzymatic penetration of laundry and dishwashing detergents, the continued rollout of the Freshness platform as well as the COVID-19-induced stockpiling and changes to the consumer behavior. COVID-19-related stockpile continued from March into April, but eased through the end of the quarter. And on the innovation front, we launched our first enzymatic solution for cleaning medical and surgical instruments and devices. This is a very interesting and relevant area with more exciting projects in the pipeline. Looking ahead, enzymatic penetration into more detergents, especially in the emergency markets, and the rollout of the Freshness will continue to drive growth. However, the destocking by both the consumers -- the customers and the consumers is expected to hamper growth in the second half. If we move into Slide 5. Food & Beverages sales in the first half grew by 7% organically. The sales performance was led by strong growth in baking, followed by solid results in both starch and food & nutrition while Beverages declined slightly. Sales of enzymes for food production benefit from more at-home consumption due to the COVID-19, where our enzymes for beverages, especially for brewing, were impacted negatively by the lower on-trade demand. In the second quarter, the sales of Food & Beverages grew 3% organically, with positive contributions from baking and food & nutrition offsetting the decline in Beverages. Starch sales were flat in the second quarter. On the innovation front, Food & Beverages delivered 2 new solutions in the second quarter, Quara Boost and Protana Prime. Quara Boost increases the yield of vegetable oil processors by retaining oil that is usually wasted in the gum fraction. And Protana Prime enables tastier meat alternatives by the extraction of the natural flavor from plant proteins. Looking ahead, the positive effects of increased at-home food consumption are expected to ease while Beverages will likely still be affected by the COVID-19-related restrictions. And please turn into Slide 6. Bioenergy sales in the first half of the year declined by 15% as COVID-induced stay-at-home restrictions severely disrupted U.S. demand from ethanol in March and onwards. This resulted in a 13% decline in global organic sales for Bioenergy in the second quarter. The U.S. production rates improved towards the end of the quarter from the lows in April and May. Outside of North America, the expansion of starch-based ethanol capacity in Brazil generated a minor positive sales contribution in the second quarter, while sales to the European producers declined. And we still believe there is a high level of uncertainty to the production levels for U.S. and the global ethanol volume for the remainder of the year. And please turn into Slide 7. Sales in Agriculture & Feed grew 17% organically in the first half and 20% in the second quarter. Both Feed & Ag buyer businesses contributed to growth in the first half and the second quarter. The Feed businesses performed well in the second quarter, likely supported by the inventory changes in the value chain. This was also seen in the first quarter. Organic growth for the BioAg business was positively impacted by one-off settlement related to the former BioAg setup. Adjusted for this factor, Agriculture & Feed would still have posted healthy double-digit organic sales growth in the second quarter. And looking at the full year, we expect continued penetration of Balancius, our bioinoculants for corn and Taegro, all contributing to growth. However, global farm economics, trade economics and COVID-19 continue to be sources of uncertainty for the businesses. Organic sales in Technical & Pharma declined by 22% in the first half and 34% in the second quarter. The decline was due to COVID-19-related impacts on the apparel and textile industry as well as the continuation of last year's decline in Chinese textile production. And with that, I will hand it to our CFO. Lars?
Lars Green: Thank you, Ester. Please turn to Slide 8. Organic sales declined by 2% in the second quarter, but was up by 4% for the first 6 months of 2020. Household Care and Agriculture & Feed posted strong double-digit growth in the first half while our Bioenergy and Technical & Pharma declined significantly. We delivered a solid set of financials despite the very challenging conditions. The gross margin was up by 120 basis points to 56.3% in the first half. The improvement was driven by higher operational leverage, improved production efficiencies as well as slightly lower input costs compared to 2019. The gross margin of 55.4% in the second quarter benefited from a one-off settlement related to the former BioAg setup. The first half EBIT margin was 27.5% or 250 basis points lower than for the same period of last year as the 2019 EBIT margin was supported by the recognition of deferred income related to the termination of the former BioAg alliance and proceeds from the divestment of a pharma-related royalty. Excluding one-offs in both 2019 and 2020, the EBIT margin grew roughly 200 basis points from around 25% in the first half of 2019 to an underlying EBIT margin of roughly 27% in the same period of 2020. This corresponds to double-digit growth in underlying EBIT. The improvement from 2019 to 2020 was mainly driven by increased gross profit as well as hiring- and travel-related savings. The return on invested capital, including goodwill, was 19.3% in the first half of 2020. This was 260 basis points lower than for the same period of 2019. The ROIC declined due to both higher average invested capital and the lower net operating profits after tax. The average invested capital in 2019 benefited from the deferred income related to the now terminated BioAg Alliance. Together with the acquisition of PrecisionBiotics Group in 2020, these were the main explanations of the increase in average invested capital from 2019 to 2020. The net operating profit after tax declined due to the lower reported EBIT from the nonrecurring income in 2019. Net investments, excluding acquisitions, were DKK 364 million in the first half of 2020. This was slightly less than for the same period of 2019. Our free cash flow before acquisitions was DKK 2.051 billion in the first 6 months. This was DKK 833 million higher than for the same period of 2019. The strong improvement was mainly due to higher sales, gross margin expansion, savings on operating expenses and improved net working capital. In the second quarter, cash flows also benefited from the BioAg settlement and the postponement of tax payments from the second to the third quarter of 2020. Please turn to Slide 9 for the reinstated 2020 outlook. After careful consideration, we have decided to reinstate the full year outlook for 2020. We expect an organic sales performance from minus 2% to plus 2% in 2020. Organic sales in Household Care, Food & Beverages and Agriculture & Feed are expected to deliver solid mid-single-digit growth while Bioenergy and Technical & Pharma are subject to the most uncertainty in terms of full year performance. In the scenario of a 2% decline in organic sales, we assume sales in Bioenergy will decline significantly more in the second half than the 15% decline seen in the first half. Also, sales in Technical & Pharma would continue to decline severely. In a scenario of a 2% organic sales growth, we assume that the decline in U.S. ethanol production will be more in line with the current EIA outlook of around 12% and that the pressure on our Technical business will ease. The full year EBIT margin expectation is lowered to around 26% from around 27% in January. Gains from productivity improvements and cost controls are expected to be outweighed by negative effects from deteriorating currencies, lower operational leverage and added amortization from the acquisition of PrecisionBiotics. The outlook for ROIC, including goodwill, is expected at 18% to 19%, which is 2 percentage points lower than the outlook from January. This is due to lower sales, lower EBIT margin, negative impact from currencies and the negative effects from the PrecisionBiotics acquisition on both net operating profit after tax and the invested capital. And finally, free cash flow before acquisitions is expected at between DKK 2.4 billion and DKK 2.8 billion, reflecting a good underlying cash generation. With this walk-through of the financials and our reinstated outlook, I'll pass the word back to Ester.
Ester Baiget: Thank you, Lars. If we could please turn into Slide 10 and let me summarize our key messages. In the first half, we delivered solid results by being there for our customers. We launched 5 new products, and most importantly, we worked to ensure the safety of our employees. As countries and economies carefully reopen, we now provide a full 2020 year outlook with an expected organic sales performance of minus 2% to plus 2%. We believe the wide range is the right approach, considering the turmoil and high volatility in the U.S. ethanol industry. While conditions are challenging, the agility and the resilience of the business demonstrate that we are on the right track to deliver more value with innovative and sustainable solutions for better lives in a growing world. We are executing on the strategy with a clear prioritization-driven agenda, both commercially and in R&D. This has most recently been exemplified by the acquisition of PrecisionBiotics, adding to a promising Human Health alternatives. And as a final remark, I'm very proud of the commitment and dedication of our colleagues during these challenging times. And to them, I would like to thank and extend my sincere gratitude. I would also like to say thank you for listening to our call this morning, and we're now ready to take your questions.
Operator: [Operator Instructions] Now our first question comes from the line of Jonas Guldborg of Danske Bank.
Jonas Guldborg: First, a question on organic growth. You say it's down 5% in developed markets in Q2 primarily due to Bioenergy in the U.S., but what was the growth in developed markets, excluding this U.S. ethanol? And then I also guess that the fact that you are stating that July is showing negative growth is mainly due to Bioenergy. But how much is July actually down? Are we talking low single digit or mid-single digit or what? And specifically, is Household Care down in July? Then my second question is on currencies. You are expecting -- or guiding for a significant negative impact in H2 on revenue. I was just thinking how is this falling through to gross profit and EBIT? And is there also a spillover effect in H1 next year as well? And my third question is on the reinvestments. So how large a part of the DKK 250 million you plan to reinvest in the business in 2020 has been reinvested here in H1. And then how much do you expect to reinvest in 2020, still DKK 250 million or have you reduced that number?
Lars Green: Thank you, Jonas. So first question on the organic growth. So when you say that we are down by 5% in the developed markets, including Bioenergy, then you could say -- then without the Bioenergy then that's probably on the opposite side of -- you could say 0. So that's probably like a plus 5% level. So I think when you take and isolate the Bioenergy decline, then that has that impact of changing it from minus 5% to plus 5% roughly in both -- in the big numbers. If you look at July, what we say is slightly negative. And we are not giving details on the individual divisions, but we are giving that as a comfort that we are looking, you can say, to deliver on the minus 2% to plus 2% for the year. If you look at Bioenergy specifically, there is a correlation between the external numbers of production that you see in the external statistics and our numbers. But of course, it's not a full 100% correlation, but there is a correlation, and that will give you an indication of where Bioenergy is also in July. When you look at currencies, we have provided a guidance or a separation of currencies in our stock exchange announcement and has done that for years. You will see in there that roughly 1/3 of our sales is denominated in U.S. dollar. And obviously, it's very transparent what the U.S. dollar is and what it means both on sales and also on EBIT. What is harder to assess and calculate is the impact from emerging market currencies. So if you look at our sales distribution, you will see that roughly 25%, if you exclude China, is sold in Asia Pacific, Latin America, Middle East and Africa. And when you look at the graph we have in the stock exchange announcement on currency, you'll see that 13% of the sales is denominated in currencies outside of euro, dollar, the Chinese yuan and Danish krone. So roughly half of that sales, therefore, is invoiced in hard currencies, the other half is invoiced in local currencies. And you see currencies like the Brazilian real, which has depreciated by 24% on average between 2019 and 2020 and you see other emerging market currencies like the Russian ruble, the Argentinian peso and others that has also decreased and devalued quite substantially. So that's why and that's how the impact on the top line is derived. So how would that spill over to the EBIT margin and the gross margin? Well, because we have more, relatively speaking, of our costs denominated in hard currencies, and in particular, the Danish krone, then we have our sales, then you can say that it has a negative impact on the margin. And that's what we're calling out. So the vast majority of the difference between 27% guidance in January and 26% guidance now is related to currency. A little bit to the impact from our acquisition of PrecisionBiotics as we also shared with you in June, whereas for other items, we are really, you can say, balancing or offsetting the lower leverage on the gross margin from a lower midpoint of our sales with savings on our operational expenses and postponed investments like we have also said all the year. Those 2 -- or 3 components are offsetting each other. So to your last question, how much are the reinvestments. So we have not been able to effectively invest the full DKK 250 million or so this year. We are probably pushing something like half of it in front of us and have included roughly half of it in our outlook. But of course, as time goes by, it becomes harder and harder to separate what is the saving on a -- not filling a replacement and what is sort of a specific investment in expansion. But I would say, if you sort of consider it in the big terms that roughly half of the total release of resources last year, we expect in our guidance to be able to spend and also spend effectively with investments picking up in the second half. So I hope that answers your questions.
Operator: And our next question comes from the line of Matthew Yates, Bank of America.
Matthew Yates: I've got two questions, please. The first is just a clarification on the Ag & Feed business. I think your full year guidance is around a mid- single-digit growth. Can I just check does that include the significant one-off that you had in Q2? And can you give us a little bit more color on the severity of the destock that you're seeing in Q3? The second question is just a follow-up on the prior gentlemen around the margin, and I'm interested in your thoughts going into 2021. You explained the impact of foreign exchange there on the revised guidance. But in terms of the cost base, you've only made half the planned reinvestments. Next year, should we assume that you still intend to make the other half, or in light of the weaker volume development, are you revisiting those plans on the cost side?
Ester Baiget: Tina, if you could take the question on the guidance priority then Lars on margins, please?
Tina Fanø: Yes. So on Ag & Feed, we, in Q2, report 27% growth and roughly 15% of that is due to the Agriculture one-off. So that means that if you look at the half year, we grew 17%. And if you then correct for the one-off we had in Q2, we'll get into the high single digit for the half year without that one-off. That also means that when you look at -- we are saying the mid-single-digit growth for the full year, yes, that do include the one-off. We are looking at some destocking in Feed. We know the inventory level of our alliance partner, and you would also be able to see from the reporting of our alliance partner that they have also been out talking about stocking in the value chain. You have to remember that roughly 2/3 of sales in Ag & Feed comes from the Feed part and roughly 1/3 comes from Ag part. And we still believe that there are uncertainty ahead of us in Ag. That's due to farm economics and we are also ahead of the Brazilian planting season, which we have ahead of us. Well, though we do still see innovation continue to penetrate both as Ester was alluding to before with the corn inoculants, with Taegro and also with Balancius.
Lars Green: Thanks, Tina. And so on the margin, yes, we are still committed to invest what we released, the resources, last year in support of accelerated growth towards the 5-plus percent we have shared as our long-term financial targets towards 2022. So specifically for '21, then, of course, the actual margin that we will record in '21 will be a result of the leverage we get from hopefully growing again in '21 and then with these investments to support that growth offsetting, then we will have to see where our currencies at the time. But I think you should still think about our development in margin towards the 28% margin we have set as a long-term target at the end of '22. And then those were set, I would just remind you, based on the level of currencies we had at the time of release in June of last year. We will see where those currencies are at the end of '22, but the underlying fundamentals are unchanged, and we are still committed to invest to accelerate our growth.
Operator: Our next question comes from the line of Michael Novod at Nordea.
Michael Novod: Yes. It's Michael from Nordea. Just two short questions. Just going back to the comment on July. I know you're not going to give any major details, but also just to figure out whether July last year was sort of a strong July, a soft July, a normal July. And then whether -- what you see in your July numbers, whether the slight decline is what you sense being mainly destocking or what is going on with -- it's more sort of the fundamentals of the market? And then, secondly, maybe you could just elaborate a bit more on how you see a potential recovery in Tech & Pharma, given what we probably have ahead of us in these next 6 to 12 months in terms of a very tough environment globally in the economy?
Ester Baiget: Thank you. I will let Anders further elaborate on the Tech & Pharma. But then to your specific question on July, last year was a strong July. That makes the comparison for the -- relative from the results that we're seeing today even probably stronger. But it's important to mention that we have seen a high level of volatility in the past. We saw it in Q2, especially on BioAg -- on Bioenergy. With the sales drop, we saw a decline higher than 30%. With the signs that we see of recovery, they are there, but we have also learned that it can change very fast and very rapidly. And that's the driver, the main driver of the range of -- that we're putting on the new guidance, the volatility and uncertainty, specifically on bioethanol. It is also true that in the first half of the year, specifically in Q1, we saw an increased demand because of stockpiling, both at our customers or the end-user facilities from both detergents and changing consumer habits on food. We see the underlying dynamics of the demand and the consumers still there and continue to be there. We also see the strong penetration and commercialization of our innovation, but we will -- we're foreseeing the destocking effect stronger on the second half than the one -- and then that would be at the expenses of what we -- the pickup that we saw in the first one. Anders?
Anders Lund: Thanks, Ester. On Tech & Pharma, we continue to be impacted in this business also full year and we expect to see improvements over where we were in Q2, but not back to the levels of 2019. And I think it's important to stress that it's mainly textile, that's our issue here, and you can follow what retailers are saying. And when I look at the reports that's been coming out from Zara and H&M and Gap, they talk about 40%, 50% declines in their businesses and that does translate almost directly into our sales. They expect improvements, and so do we.
Michael Novod: Okay. But that was exactly my point that it's difficult to see the major improvements going into the next 6 months of the economic environment.
Ester Baiget: That's correct.
Anders Lund: That's right.
Operator: Next question comes from the line of Søren Samsøe of SEB.
Søren Samsøe: Søren here from SEB. Just 2 questions from my side. In your guidance, the range of minus 2% to plus 2%, maybe you could elaborate a little bit on how much destocking you have included in, you can say, each end of the range. That's the first question. And the second question is you've seen actually a significant surge in the comp prices in China recently. Would that impact your starch business in China negatively in the second half, do you think? And if that's the case, how have you factored that into your guidance for second half?
Ester Baiget: Lars, if you can take the first one; Andy, the question on starch.
Lars Green: Yes. So in terms of destocking, as we have said, there has been a component of stocking in the supply chain in the beginning of the corona period that was very sort of visible, although we didn't have transparency of how much in both Household Care and Food & Beverages. In second quarter, we have seen some of that stocking in the supply chain return, so to speak, in Food & Beverages, whereas there is probably not so much of change during the quarter in Household Care. So I would say in the upper end of the range, we would assume a very little correction of the supply chain, whereas if we are at the bottom, that would also imply somehow a recurrence of corona. And so you could say, in that end, that will probably not be a very significant impact from the -- from any change in the supply chain. So I think that's how you should look at it. Again, it's probably Household Care where it is most prevalent. And we do, in our guidance, assume a bit of correction in the second half from what we have seen in the first half. Andy?
Andrew Fordyce: Yes. On the starch side, I think one thing to note is that we had a pretty big order pattern-related effect in the first quarter in China in starch, where we had really nice growth. Second quarter, we saw it slow down a little bit, but we're actually kind of ahead of where we expected to be. It's been a bit more robust than anticipated. I think for the back half of the year, we kind of expect it to stabilize at the higher corn price levels and it's going to be somewhat related to how well the beverage industries perform. We expect a bit of recovery and that will support starch processing.
Operator: That comes from the line of Lars Topholm of Carnegie.
Lars Topholm: Yes. A couple of questions from me. Lars, one is just a follow-up. When you commented on the 28% margin target for the end of 2022, you pointed out that it was agreed upon in the summer of 2019 based on the exchange rates valid back then. Everything else equal, what would the 28% look like based on the exchange rates we have today? And then, Ester, a question for you because now you've been around for half a year. You have inherited a midterm growth target of more than 5% organic growth. You haven't changed it. So does that mean you are happy with this target? And if you are, maybe you can comment on which divisions will more than that and which will grow less. And then if you are not happy with it, maybe you can share some thoughts on when this might be reviewed, if it's going to be reviewed at all?
Lars Green: So thanks, Lars. I'll take the first question on the margin. So I have to admit I have not calculated with the current spot rates what would it be in end of '22 on our long-term guidance. I think what occupies me more is that the underlying improvement in our margin stays intact and that we, through acceleration of growth, can continue to deliver gross margin expansion and that we actually allocate the resource and capital to invest in that acceleration of growth to succeed. So I think that's where I have my focus. To answer your question specifically, I guess the impact of currency for this year is a good proxy for what the impact is since last year. But again, let's see where the currencies are at the end of '22 and then that will give us the final answer.
Ester Baiget: And to your question, Lars, on guidance. We will have to wait for the final answer on the guidance when we come with the new guidance for next year. But what I can tell you for sure is that during these first 6 months, my first 6 months, we have been swiftly and firmly moving ahead with implementation of our strategy, and that's across the whole areas, through prioritization and allocation of resources, of innovation in the areas that delivered the most and I'm focusing on the productivity and on the cash release on the areas that we see as the drivers of growth in those BPUs. Solid examples of the implementation of the strategy are the development -- new launches that we have provided across all areas. That's also a sign of the appetite of the world to the answers that we provide and to the breakthrough innovations to respond to the society needs. Another solid example is the penetration and the successful commercialization as we're seeing it in the supermarkets of freshness despite the challenging environment. Another example of the implementation of our strategy is the acquisition of PrecisionBiotics where we set the platform and the foundation of growth for an area that we identified and a strategic priority for us. So in a growing world, I am very confident on the capability of us as a company to deliver sustainable earnings growth. And that's the commitment that you're getting from the team and that's also the space that we're going to continue to work. As we did in the first half, it's resilience, its ductility, it's responding to the market needs and providing those questions into answers and moving firmly and strongly every day a little step.
Lars Topholm: So I should interpret this as today you are happy with the more than 5% organic growth ambition until 2022?
Ester Baiget: I'm in a growing world when -- in an environment as in the way that it was set when we put the guidance. I'm fully confident on our capability to deliver. Then we have also learned and we have seen that there is a volatile world, the one that we're living. And we just reinstalled guidance. I mean that shows a sign of our confidence as we're learning and getting -- embracing the reality that we're living in, and we're going to do the same when we come with a new guidance for the long term.
Operator: Next question comes from the line of Annette Lykke of Handelsbanken.
Annette Lykke: Just want to go back to growth for Household Care, plus 11%, both Q1 and Q2. To reach a mid-single growth, this means that it should be flattish, and I assume this is primarily coming from a destocking effect. Can you tell us if we already saw that the destocking effect in July? Also, if we could share a little bit more on the components we have talked about that you have a better insight to what the components are behind the plus 11%. Then on the bioethanol, I suggest that the weekly production is indicating a negative of around 10% for July. That seems that you should be in the top end of your guidance. Do you agree on that if this is something that would persist for the remainder of the year? And then, of course, how close are the correlation? I know it's not 1:1. Are you -- is it possible for you to increase your market share? Or are you increasing market share in this declining market? And what about the prices? That is my question.
Ester Baiget: I will let Anders and Tina answer, respectively.
Anders Lund: So thanks for the question. Let me start out by answering the first Household Care question, and let me maybe start out by saying that we are very pleased with the sales performance in Household Care for the first half. Obviously, 11% is very, very strong. What drives this is a combination of a few things. First of all, we were building a good momentum in the second half of '19 driven by Freshness and emerging markets that continued into the first half and we are very pleased with that. And then we got a bump up with some COVID-related effects that relates to a few different things. One is stockpiling in the chain. It's both with consumers, it's in retailers and it's with our customers. And then we have also seen that some of our customers are now talking about more wash loads being done by consumers. And we've also seen a surge towards higher-quality detergents. So that's the drivers for the 11%. And that's also one of the reasons for us believing that we can't sustain that level, that some of that will be reversed, especially when it comes to the COVID-related effects on stockpiling. The exact effect of that is difficult to estimate. But in addition to that, we also had some very easy comps in the first half of 2020. And that, of course, does reverse as we get into much more difficult comps in the second half. You have to think about it this way that last year, first half performance -- or second half performance was almost 10% higher than the first half performance. And that's, of course, the territory that we get into now. I hope that answers the question.
Ester Baiget: And then on Bioenergy & Ag?
Tina Fanø: Yes. So as you are saying, there isn't always a direct correlation between the behavior our customers are having and the EIA numbers. But as Lars alluded to earlier, it is a good indication. And we also see that in our numbers and in our close interactions with our customers, that they are also starting to pick up. If you look at the first half of 2020, then our performance is roughly aligned with what it is that EIA have come out with. However, when we look ahead, you are right in that EIA is looking at a slight increase compared to where you are year-to-date in the EIA numbers. So they are looking at moving from roughly around minus 15% to 11%, 12% minus for the full year. So they're looking at some increase in second half. However, we do believe that there are uncertainty in the fuel area still. So in the lower end of our guidance, we have included a worst situation than what it is that EIA is expecting, almost twice the decline as what it is you saw in first half. You also asked about what were the effects due to, and I would say that it's -- the performance we have seen in the first half is due to less ethanol being produced. We see limited -- or hardly any share moves and limited effect of price mix. I hope that answers your question.
Operator: Our next question comes from the line of Sebastian Bray at Berenberg Bank.
Sebastian Bray: I would have two, please. The first one is on the ramp-up in Freshness sales. From mainly at the outset of this product, a guidance of about DKK 1 billion was given per annum or an ambition. How far are we there? Are we currently at about a 40% to 50% run rate as a rough guess? My second question is on the acquisition of PrecisionBiotics. Historically, Novozymes, I think, has had a ratio of roughly 10% microorganisms to 90% enzymes in sales. Is there any scope for this to shift in the future?
Ester Baiget: Anders, if you can take the first question and then Thomas on the PrecisionBiotics, please.
Anders Lund: Yes. So thanks for the question. We don't guide specifically on the sales of Freshness. And maybe a few comments that I will make is that Freshness for Novozymes right now is still with Product & Gamble only. We are on the plan that we set some years back with P&G, and that is actually being executed very well. If you follow what's happening on the commercial side of this, you can also see that they are out talking about technologies that relate to what we have developed with them. So one thing is we are on target with P&G for the launch. The other one is that we are investing in other technologies for the broad market and those are also coming along as we planned originally. And we are talking about a launch in the mid of '22, where we expect to go out to the broad market with solutions in this space. But giving you an exact number of where we are, we are not, but we are still committed to the DKK 1 billion on Freshness.
Thomas Videbaek: And when it comes to the acquisition, then you're absolutely right that, currently, our business has a split of microbes around 10% and enzymes around 90%. We're not operating on this ratio. This is just where we are. And looking at Novozymes, we have the toolbox of microbes and enzymes, and whenever we see opportunities in the marketplace, we're looking at the totality of our toolbox, not that it has to be one or the other and that's actually one of the strengths. So within our OneHealth activities, we're also looking at enzymes; and within our more existing businesses, we're also looking at microbes. So we will apply the total toolbox going forward.
Ester Baiget: Bear with me, there's a little bit of a follow-up.
Anders Lund: Yes. So sorry, I just want to correct that now for everybody on the call. It's mid '21 that we come out with a broad market solution, not mid '22, Sorry about that.
Operator: The last question in the queue so far is from the line of Silke Kueck of JPMorgan.
Silke Kueck: I was wondering whether you can discuss your organic growth performance in July on a regional basis. So on Slide 4, you talked about your first quarter results, your first half results. I was wondering whether you can do something similar for your July sales. And I was also wondering whether -- when you look at the first 2 weeks of August, I was wondering what you've seen so far?
Ester Baiget: Thank you for this -- this last question. We typically don't disclose results by the month, not by the week either. If anything, it is -- the guide -- or the sentiment that we're bringing in, it is that we -- it's in alignment on what would be projected. And then it's included in our forecast for the year. And I'm going to repeat probably what it has been said during the call that we are aiming for strong -- or for a solid mid-digit -- or single-digit growth for 3 of our businesses, for Household Care, for Food & Beverages and for Ag & Feed. And being are detergents or technical industry and BioAg, the drivers of a higher level of uncertainty, especially on bioethanol. The highest driver of uncertainty, bioethanol, Bioenergy. And that's the post that we're living in. We're seeing good signs, but we've also seen fast moves in the industry, and we've seen them fast. As U.S. economy recovers, as the social distancing ease and as gasoline demand consumption increase, then we will translate those opportunities into sales for our enzymes and make sure that we capitalize them to the bottom line. That's it.
Operator: Thank you. As there are no further questions at this time, I'll hand back for the closing comments.
Ester Baiget: Thank you. Pleasure to have you in the call. Looking forward for a couple of more interactions with many of you, and then we'll leave you for today till the next earnings call. Thank you.